Operator: Good day, and welcome to the Impinj Third Quarter 2020 Earnings Conference Call. All participants will be a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ellen Hayes-Roth, Investor Relations. Please go ahead.
Ellen Hayes-Roth: Thank you, operator. Good afternoon, and thank you all for joining us to discuss Impinj's third quarter 2020 results. On today's call, Chris Diorio, Impinj's Co-Founder and CEO, will provide a brief overview of our market opportunity and performance. Cary Baker, Impinj's CFO, will follow with a detailed review of our third quarter 2020 financial results and fourth quarter 2020 outlook. We will then open the call for questions. Jeff Dossett, Impinj's Chief Revenue Officer, is also on the call and will join Chris and Cary in the Q&A session. Management's prepared remarks, along with trended financial data, are available on the Investor Relations section of Impinj's website. Before we start, please note that we will make certain statements during the call that are not historical facts, including those regarding our plans, objectives or expected performance; the expected or potential impact of COVID-19 on our business, operating results, financial condition or prospects; and the expected or potential responses of government authorities, customers, partners and the company to COVID-19. To the extent we make such statements, they are forward-looking within the meaning of the Private Securities Litigation Reform Act from 1995. Any such forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we make, including concerning COVID-19, are reasonable, our actual results could differ materially because any statements based on current expectations are subject to risks and uncertainties. Please see the risk factors in the annual and quarterly reports we file with the SEC, and risk factors in the Form 10-Q we filed today for more information about these risks. We do not undertake, and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events, or otherwise except as required by applicable law. During today’s call, all financial numbers we discuss, except for revenue, or where we explicitly state otherwise, are non-GAAP financial measures. Balance sheet and cash flow metrics are on a GAAP basis except for net cash used in operating activities. Free cash flow is a non-GAAP measure. Before turning to our results and outlook, I’d like to note that the company will participate in the Roath Technology Virtual Conference on November 12 and the 23rd Annual Needham Grwoth Conference on January 13. We look forward to connecting with many of you at these upcoming events. I will now turn the call to Chris Diorio, Impinj’s Co-Founder and Chief Executive Officer. Chris?
Chris Diorio: Thank you, Ellen. Thank you all for joining our call. I hope you and your loved ones are and remain safe and well. Third quarter revenue improved sequentially driven primarily by rebounding retail apparel volumes that drove endpoint IC sales, many of our market segments remain impacted by COVID-19. So total revenue remained below third quarter 2019. Regardless we remain excited about our opportunities of both endpoint ICs and systems as we look forward into 2021.  Endpoint IC revenue increased sequentially in the third quarter aided in part by customer requests to reschedule second quarter 2020 backlog to second half. Year-to-date endpoint IC revenue was up 2.6% marked by first quarter strength from market demand and customer expedite requests, second quarter weakness due to shutdowns and third quarter demand recovery tempered by inventory reduction at our inlay partners the latter essentially normalized by quarter end. Looking to the fourth quarter we anticipate sequential revenue growth despite typical seasonal declines. We shipped more than 100 million Impinj M700 endpoint ICs in the third quarter and now with multiple inlay partners receiving approvals from Auburn University's testing lab. We see our opportunities expanding. We anticipate more certifications in the fourth quarter and accelerating M700 adoption and volume growth. Third quarter systems revenue declined sequentially with COVID-19 impacting demand in retail, automotive and consumer-facing use cases such as travel and sports. Compounding that reduced demand our reader and reader IC distributors continued reducing their inventory to match the new demand fulfilling orders where they could from inventory on hand. We anticipate further fulfillment from distributor inventory in the fourth quarter obscuring continued improvements and sales out to our solution and reseller partners. Supply chain and logistics remained a bright spot in the quarter with revenue increasing sequentially primarily from us shipping additional gateways to the North American supply chain and logistics end user we discussed on prior calls. We do not expect shipments to that end user in the fourth quarter.  We also generated modest third quarter revenue from shipments of our Impinj R700 readers into our second large North American supply chain and logistics end user and we anticipate modest revenue from that end user again in the fourth quarter. That opportunity as we said last quarter is large, but the deployment timing and pace remain uncertain. Looking to the fourth quarter systems revenue will remain constrained as we balance puts from improving demand and the second North American supply chain and logistics end user beginning its ramp against takes from ongoing channel inventory reductions and the first large North American supply chain and logistics end-user continuing its transition to an operational phase. With our recent announcement of R700 general availability and the new opportunities the R700 enterprise class capabilities open in the supply chain we remain excited about our systems prospects ahead. COVID-19 has fundamentally altered end user business operations suppressing demand for fixed readers in the near term, but we believe engendering a demand rebound when those businesses have clarity to COVID-19's end. In some verticals we already see green shoots of recovery. Looking first at retail with foot traffic down retailers in the near term are focused on the imperative for omnichannel fulfillment using mostly labor intensive, but quick to deploy handheld readers. Consequently, we see growing fourth quarter demand for endpoint ICs and to a lesser extent for reader ICs, the latter because retailers have fewer fulfillment centers than they do stores. Our pipeline of retail fixed reading opportunities remain strong especially in loss prevention and self-checkout, but omnichannel investments remain paramount. We also now see retailers driving two distinct go forward paths to RAIN-based loss prevention and self-checkout. One is entirely RAIN-based and uses RAIN-enabled exit gates, RAIN tags and RAIN self-checkout terminals. The other combines RAIN and traditional RFEAs. This combination allows retailers to use their legacy EAS exit gates with merged RAIN and RFEAs tags and RAIN self-checkout terminals. The former requires more readers and gateways whereas the latter promises quicker deployments; both afford significant opportunities for us. In supply chain and logistics we also see traction into go forward paths. One path focuses on identifying tagged pallets transitioning through dock doors. The other focuses on identifying tagged cartons on conveyor belts. The former drive gateway sales and pallet tags, the ladder drives reader sales and carton tags; both are in our platform sweet spot and both leverage our experience from our North American end user deployments. Like for retail here again we have a strong pipeline. The deployments have been slowed by COVID-19 impacting our partners’ installation teams and users pacing reader installations when they are operating at peak volumes or both. Regardless with our first large deployment transitioning to its operational phase and a second large deployment just starting we are only scratching the surface of the total supply chain and logistics opportunity. In closing, revenue rebounded in the third quarter with underlying strength in our core markets, but the effects of COVID-19 remain. Regardless we remain focused on exiting the other side of COVID-19 a stronger company in a stronger market position than when we entered it. We also remain focused on the big picture on the strong underlying secular trends evidenced by our business strength prior to COVID-19 and on our opportunity to use RAIN to deliver the digital transformation our end users want and need. With a strong balance sheet, game-changing new products and a platform and vision that sits squarely in the center of that digital transformation the opportunity in front of us is more compelling than ever. We will continue focusing on leading apparel retailers and on leading supply chain and logistics companies driving operational improvements for them and business opportunities for us. We will do so even as we keep a close eye on expenses, charting a path to adjusted EBITDA breakeven on the other side of COVID-19. Be safe and be well. I will now turn the call over to Cary for our detailed financial review and fourth quarter outlook. Cary? 
Cary Baker: Thank you, Chris. Good afternoon everyone. Today I will cover the metrics we typically discuss on our earnings calls and provide a financial outlook for the current quarter. Third quarter revenue was $28.2 million declining 30.8% year-over-year and increasing 6.6% quarter-over-quarter compared with $40.8 million in third quarter 2019 and $26.5 million in second quarter 2020. Third quarter endpoint IC revenue was $21.6 million declining 18.1% year-over-year and increasing 16.4% quarter-over-quarter compared with $26.4 million in third quarter 2019 and $18.5 million in second quarter 2020. The recovering retail demand environment drove a favorable dynamic in the third quarter with our inlay partners reducing the inventory they built in first quarter 2020 and turns orders returning in the latter half of the third quarter. While our third quarter revenue declined year-over-year in part due to that channel inventory reduction at our inlay partners, we believe our year-to-date revenue growth now reflects our 2020 demand environment. Looking ahead while fourth quarter endpoint IC revenue is typically lower sequentially, fourth quarter 2020 will benefit from a comparison against third quarter 2020 where inlay partners will reduce in inventory. Generally we expect 2020 endpoint IC revenue on par with 2019. Third quarter systems revenue was $6.6 million declining 54.1% year-over-year against a difficult third quarter 2019 comparison of $14.4 million and declining 16.5% quarter-over-quarter compared with $7.9 million in second quarter 2020. Gateway revenue declined year-over-year but grew quarter-over-quarter as the large North American project continued generating modest revenue in the third quarter. Reader revenue declined year-over-year and quarter-over-quarter impacted by demand, deployment pace and timing and channel partner inventory dynamics. The second North American supply chain and logistics deployment progressed with modest financial contributions in the quarter. Reader IC revenue declined year-over-year and quarter-over-quarter due to lower demand for handheld readers at retail and in comparison to second quarter where partners built modest inventory to reduce supply risk. We expect fourth quarter systems revenue to remain constrained as broad-based rebounding demand is offset by channel partner inventory dynamics and by the North American supply chain and logistics customer moving fully to the operational phase. Third quarter gross margin was 50.1% compared with 50.2% a year ago and 51.4% last quarter. On a year-over-year basis gross margin declined 10 basis points driven by revenue mix and leverage on lower revenue partially offset by lower E&O charges. On a quarter-over-quarter basis gross margin declined 130 basis points driven by revenue mix partially offset by lower E&O charges. Total third quarter operating expense was $20.4 million compared with $18.4 million in third quarter of 2019 and $18.8 million in second quarter 2020. Research and development expense was $9.4 million. Sales and marketing expense was $5.4 million. General and administrative expense was $5.5 million. Third quarter adjusted EBITDA was a loss of $6.2 million compared with a profit of $2.1 million in third quarter 2019 and a loss of $5.2 million in second quarter 2020. Third quarter GAAP net loss was $14.3 million. Third quarter non-GAAP net loss was $6.7 million or $0.29 per share using a weighted average diluted share count of 22.9 million shares.  Turning to the balance sheet. We ended the third quarter with cash, cash equivalents and short-term investments of $105.1 billion compared with $63.1 million in third quarter 2019 and $120.9 million in second quarter 2020. Inventory totaled $38 million of $1.7 million from third quarter 2019 and increasing $900,000 from second quarter 2020. In the third quarter net cash used in operating activities was $11 million and property and equipment purchases totaled $1.1 million. Free cash flow was negative $12.1 million. We have excluded from third quarter net cash used in operating activities and free cash flow the $5.4 million cash outflow associated with the settlement of our shareholder class action lawsuits.  I will now provide an update on a few of our strategic initiatives. First the capital investment in our 300 millimeter endpoint IC vital post processing flow continues. This ROI driven project spans multiple years and will increase our operations responsiveness, broaden our geographic and partner diversity and improve our inventory terms. Looking ahead capital expenditure will look more like 2018 versus 2019 or the beginning of 2020. This investment will begin paying dividends in 2022 and over time will generate a positive return to shareholders. Second, we will maintain adequate supply of 200 millimeter endpoint IC wafers as we stage our transition to the 300 millimeter M700 family. That 200 millimeter inventory uses cash in 2020 and will be a source of cash in 2021. In 2021 we expect our days of inventory to improve. Third, we entered 2020 with ambitious hiring goals to boost our engineering investment and filled most of those open roles by the end of third quarter. As a consequence we expect an increase in fourth quarter operating expense and we will grow into that investment in 2021. Looking forward we will continue to monitor expenses and remain confident in our plan to return to adjusted EBITDA breakeven on the other side of COVID-19. Turning to our outlook. We expect fourth quarter revenue to be between $26.5 million and $28.5 million a 32.6% year-over-year decline at the midpoint of the range. We expect adjusted EBITDA to be between a loss of $8.9 million and $7.4 million. On the bottom line we expect non-GAAP net loss between $9.3 million and $7.8 million reflecting non-GAAP per share earnings of between minus 40 and $0.34 on weighted average diluted share count of 23 million to 23.1 million shares.  In closing I want to thank our Impinj team, our customers, our suppliers and you and your investors for your ongoing support. I will now turn the call to the operator to open the question and answer session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Ted [Indiscernible] with Morgan Stanley. Please go ahead. 
Unidentified Analyst: Great. Thanks, this is Ted on the line for Craig Hettenbach. My question is on 300 millimeter wafers just curious if you could provide an update on your transition there. The puts and takes around costs and gross margins in your prepared remarks. It sounded like you expected to begin paying dividends in 2022. So just a little bit more color there and your expectations for cost curves and adoption as that ramps? 
Chris Diorio: Hi Ted thanks for, this is Chris speaking, thanks for joining us, thanks for your question. I'm going to say that as I noted in the script that we've already shipped 100 million units of our Impinj M700 IC which is almost 300 millimeter wafers. We have multiple certifications and inlay approvals coming in from the University of Auburn's testing lab and so we look forward to strength and growth heading into fourth quarter and then into 2021 in that 300 millimeter product line. We've also introduced some key new features in that product for example Impinj protected mode which allows us to address key use cases and loss prevention and self-checkout with seamless returns. For some of the remainder of the question I'll turn it over to Cary for a little bit more of the details.
Cary Baker: Yes. Hey Ted on the M700 we expect gross margin accretion and we're going to get to the lower cost point. There are two significant improvements with the M700. First as you noted, we've moved from 200 millimeter to 300 millimeter wafer. So we get a little more dive per wafer as a result of that but more importantly we've also improved the process node. We've moved down Moore's law on this and we've shrunk the size of the dye generating even more dye per wafer and that as a result has reduced our cost. It's allowed us to be more aggressive at a price point while maintaining gross margins and we anticipate that gross margin accretion once we get up to production volumes and more deeper into our ramp. So as Chris noted we did about 100 million units in Q3. We'll do more than that in Q4. I would expect gross margin to start improving in 2021. Now keep in mind that for that improvement we have to increase our mix of the M700 and when we introduced a new IC it's typically not a replacement think of it as a layering effect. So as we move through that year, we'll build our mix and our share of the M700 and we'll start seeing that gross margin improvement in our results.
Chris Diorio: And this is Chris, I'll just add one more thing just note that because we migrated significantly down Moore's law we have roughly twice as many dye for wafer as our nearest competitor in the same size wafer diameter. So although the wafer costs a bit higher because we migrated down Moore's law the depreciation curve is also a little bit steeper and then we see opportunities for the future in that process then.
Unidentified Analyst: Got it. Thank you and then just one more quick follow-up if I can. It also sounds like CapEx for 2021 is going to come up a bit to 2018's levels. Just curious if you could maybe provide a little bit more color on the current quarter the pace for 2021 and beyond?
Cary Baker: Yes. So in the current quarter we did $1.1 million of CapEx. We really hit our pace on the process flow improvement effort. So I would expect another modest step up in Q4 and then for fiscal year ‘21 to be pretty consistent with where we were in 2018. 
Unidentified Analyst: Got it. Thanks.
Operator: Our next question comes from Michael Walkley with Canaccord Genuity. Please go ahead.
Michael Walkley: Great. Thanks for taking my question and hope everybody on the call is staying safe and healthy. Chris just...
Chris Diorio: Thank you Mike and I hope the same to you.
Michael Walkley: Yes. Thank you very much. Just first question for me the endpoint IC they rebounded a bit more than I anticipated for the quarters. So that was great to see and I have to think the pandemic has stressed the importance for retailers to have improving inventory controls and improve contactless checkout procedures and all the other areas that you guys highlight that benefits RAIN adoption. Can you discuss just kind of your interactions with customers for improving long-term pipeline for RAIN adoption just just given change in buying patterns because of the pandemic?
Jeff Dossett: Mike thanks for your question. This is Jeff and I will begin to answer that and look to Chris and Cary to add some comments. You're absolutely right. If there is a bright spot in COVID-19 it is in the increasing interest and intent of visionary end customers to invest in their digital transformations and in particular to get improved visibility of all of the things that move through their business that enable them to create value. So we're very encouraged by the end customer interest and intent to invest in these digital transformations. We see a strengthening in our pipeline of large opportunities in retail and in supply chain and logistics more generally. So as we know retailers are trying to shift to better serve shifting customer demand and as you noted omnichannel is at the forefront and to execute omnichannel effectively retailers need to understand what inventory they have at the specific item level, that is a particular garment in a particular size and color not just in general but very specifically at an item level and that's where RAIN contributes significantly to these initiatives. The goal here is to optimize efficiency by matching available inventory wherever it is to that specific customer demand and then to service that or deliver against that demand from the most efficient closest inventory location, be it in a given store in a near distribution center or wherever that inventory may be throughout their supply chain. So again, we're very encouraged by the interest and intent to gain that visibility across the entire supply chain. 
Chris Diorio: And Mike this is Chris. I will add that following on the omnichannel fulfillment what we see is retailers looking to modernize their stores post-COVID-19 and supply chain and lot prevention and self-checkout are kind of kind of the keys we see there. In order to do self-checkout you need to do RAIN-enabled loss prevention because you're going to basically be deactivating the tag at point of sale and then your RAIN exit gates need to determine that the text deactivated electronically deactivated. So we see significant interest and those are long-term investments as we highlighted but we see an opportunity there for the future which is why I highlighted the loss prevention and self-checkout opportunity in the script and talked about the two ways that we see retards going forward.
Michael Walkley: Great. Thanks Chris and just kind of building that question as we've talked over the years you've talked about in key industries having the investment with a huge customer call what you say crossing the chasm to drive more growth and it certainly seems like your large North American project and supply chain logistics is starting to get that area going. I guess two questions off that is first the second large customer is it almost the same as the one you currently have and there are other ones besides that one now lining up testing out RAIN and then two, do you see any other industries that might be close to “crossing” that chasm for RAIN adoption?
Chris Diorio: So we have talked about the first supply chain and logistics opportunity as being primarily a gateway opportunity associated with pallets and we've talked about the second supply chain logistics opportunity being a little bit different associated with readers and more about conveyors and so there is some difference between them but they are both significantly focused on the supply chain and logistics opportunity broadly which is tracking items moving through the supply chain and in that sense we see those opportunities just kind of being bellwaters for the larger industry. Turning just to the retail environment for a second again and using that crossing the chasm analogy historically as retail has all been handheld driven inventory accounting and what we now see is this desire to do consumer self-checkout and then that driving loss prevention and that's driving seamless returns as being an opportunity for fixed reading because you just you don't do self-checkout using a handler and certainly not loss prevention. So again that we see an opportunity in the future. I won't say we've crossed the chasm yet, but we see an opportunity for some large retailers to get to invest in the loss prevention and self-checkout opportunity. And then so doing it that was to come to pass we see those opportunities that's driving the industry forward beyond handle driving in inventory counting to this fixed reading and retail stores. 
Michael Walkley: I think the last question for me I'll pass on the line just on the systems business and it sounds like a lot of activity but shorter term there is some lumpiness and timing of contracts in the inventory that you guys highlighted. Is there any other things may be slowing near-term systems sales just access for testing and trialing due to COVID and if that's the case is it starting to ease at all or is that still a challenge in terms of a new customer adoption on some of these systems deals?
Chris Diorio: Yes. Go ahead Jeff.
Jeff Dossett: Yes. Mike this is Jeff. We do see signs of modest recovery in the near-term systems pipeline that is as businesses have begun to adapt and are increasingly able to provide a safe return to operations or to work we are seeing the reactivation of end customer deployments that had been initially paused in our second quarter with the onset of the COVID-19 pandemic. We're also seeing our partners increasingly able to re-engage within end customer work environments to undertake testing of new use cases and new opportunities. So we are seeing an uptick in activity and engagement which is encouraging. That being said even when the activity translates into demand that demand is primarily being satisfied with inventory already placed in our systems distributors around the globe. That will continue into the fourth quarter, but we do anticipate that we will exit fourth quarter with healthy and appropriate systems inventories across all systems distributors around the globe. So looking for 2021 we'd anticipate our results to better match actual end customer and market demand.
Michael Walkley: All right. That's helpful. Thanks for taking my questions and congrats on the progress you're making and again 700 ranting.
Chris Diorio: Thank you very much Mike.
Jeff Dossett: Thanks very much Mike.
Operator: Our next question comes from Scott Searle with Roth Capital. Please go ahead. 
Scott Searle: Good afternoon. Thanks for taking my questions. Chris I hope you guys and your team are healthy and safe to just kind of echo Mike's sentiments. 
Chris Diorio: Thank you.
Scott Searle: Hey just to quickly follow up on the gross margin front related to ICs. It seems like you're back in equilibrium in terms of working inventory through at your customers. You've got the M700 coming but you also typically have the pricing decreases that kick in January, February time frame. Is that still on track does the M700 offset some of that I know it's very small at the current time. But the follow-up on the M700 front and to follow up on some of the certification questions it sounds like you're slowly moving through that process. Is that a big hindrance at this point in time in terms of qualifying the product with new customers and what's your broad-based kind of expectation when you're looking at exiting 2021? What percentage of the mix do you think M700 is?
Chris Diorio: Okay. This is Chris. Let me start with the question in terms of the certifications and qualifications and then I'll hand it over to Jeff to follow up on the overall gross margin question. So obviously launching a new product into a pandemic is not -- let's just say it's less than ideal and so the end customer certifications once they do themselves or the University of Auburn approval and testing have both been delayed by COVID-19 and so although we're happy with where we are having kept 100 million units the pace not outside of if COVID-19 hadn't happened we expect the pace would have been quicker. That said when you compare our pace of adoption compared to [indiscernible] we did many years ago when we introduced [indiscernible] we are still moving at a good clip and we expect accelerating adoption now they have those University of Auburn approvals and other end user approvals except accelerating adoption as I said heading into 2021.
Jeff Dossett: Yes I think I would just say that I see it as a positive momentum. The approvals and qualifications are now moving and so not you to be a hindrance or a negative factor whatsoever. I think in terms of the pricing negotiations as is typical we are engaged in our annual pricing negotiations for the year or years ahead in the fourth quarter. We're very early in that process and there are really no material updates to share at this time.
Scott Searle: Got you and if I could just quickly on the systems front it sounds like endpoint ICs you're back in equilibrium as we enter 2021, but there are a couple of big dynamics going on this year in terms of the large North American logistics, customer completing its deployment moving operational but the second one coming on board. Could you kind of give us some idea the magnitude of that and how that's been impacted by the current environment is that going to progress and as we think about 2021 from a system standpoint, does it look more like 2019 or does it look more like 2020 as it relates to the size of the opportunity? And kind of I guess coupled with that systems winning new systems business now can you close the business with customers? I'm sure there's a lot of interest given a no touch environment and the benefits of what you can do from an omnichannel standpoint but is it difficult to just close business and get things across the goal line in this environment? Thanks. 
Chris Diorio: There's a couple of questions in there and I'm going to try and teach one or two out or whatever I forget maybe Cary will cover for me. So we have said that the second North American supply chain logistics opportunity is large and it's a true statement we are, it's quite a large opportunity and we look forward to them to growing with and supporting that customer to our ability. That said we're just getting going and the pace and timing of the rollouts remain uncertain and that uncertainty is exacerbated by COVID-19. The large shipment volumes that are going on in the supply chain reluctance to then customers kind of across the board to touch things when they're running full tilt and they don't want to break something. The difficulty of our partners getting in to actually do work in the facilities it's all impacted by COVID-19. So the inherent uncertainty we would have with any large customer deploying is exacerbated by COVID-19. In terms of closing deals and deal timing like Jeff said a little while ago we see a growing pipeline of big opportunities. We see a growing need for these end customers to do digital to basically digitally transform their operations yet at the same time those end customers are trying to gauge the end of COVID-19 and determine the pacing of their investments. So like I said in running the script that the pace and timing of some of these deployments is going to depend on end user visibility into the end of COVID-19 that's indeed the case and I don't think we have any better crystal ball than anybody else in terms of the pace of what work is going to go and the consequent pace in which those deployments are going to ramp. I'll just say that what we see now and what we feel now is a growing pipeline of large end customer opportunities.
Scott Searle: Great. Thanks so much guys. 
Chris Diorio: The only thing I would add, okay thanks Scott. 
Cary Baker: Thanks Scott.
Scott Searle: Thanks.
Operator: Our next question comes from Jim Ricchiuti with Needham & Company. Please go ahead. 
Jim Ricchiuti: Hi good afternoon. The comment I think in the script is talking about endpoint IC revenues roughly consistent with 2019 levels. So I guess that that implies a pretty healthy sequential increase in Q4 which we normally don't see and I think he alluded to that. So I'm just trying to get a better sense as to maybe your confidence level in that dynamic seeing that improvement in Q4 especially given the uncertainty around the holiday season.
Cary Baker : Yes. Thank you Jim. This is Cary. I appreciate the question. So we reported last quarter that we felt that we turned the quarter on our bookings volume and we decided that at the time of our earnings calls that our quarter-to-date Q3 quarter-to-date bookings were up 20% versus Q2. That pace continued throughout the quarter and even accelerated a little bit as we were moving into Q4 and in a disciplined way that we were able to burn through the channel inventory that we began the quarter with and return on the endpoint IC business return to kind of normal turns volume. So the normal compare that we would have from a seasonal perspective moving into Q4 really doesn't translate to our revenue because demand was greater than our revenue in Q3. So we don't necessarily anticipate following exactly along the normal seasonality in Q4 because of that dynamic and that's why we're able to say that not only will we from an actual perspective year-to-date we're up 3% on endpoint IC volume versus 2019, but we think we'll be at when we complete the year at about parity with 2019. 
Chris Diorio: And Jim this is Chris. I'm just going to add that we're being thoughtful in terms of predictions relative to the holiday season it's impact or lack thereof and so I'm just we're giving you some visibility how we see our business but the COVID-19 uncertainties large holiday season whether materializes or not the uncertainties there and we're going to have to wait and see just as you are as to how the environment and how the overall economy progresses over the next two months.
Jeff Dossett: Yes. And the way we've translated that to our outlook for the fourth quarter Jim is we're not assuming we're going to maintain the turn volume that we saw in Q3. So for that uncertainty we've wrestled down a little bit or become a little more conservative on our terms estimate for Q4.
Jim Ricchiuti: Got it. And just on expenses looking at your R&D levels and sales and marketing how should we, if any help in terms of how we might think about that for Q4 is it should we see a similar pattern with R&D and sales and marketing on a sequential basis?
Chris Diorio: Yes. So on R&D expense we expect a step up in Q4. I mentioned that we had a pretty ambitious hiring plan for the year. We substantially completed that hiring plan in Q3. So the expense associated with those hires is not fully reflected in our Q3 number. So I would anticipate with a full quarter of those folks on the team are expected to naturally grow up and then also looking into fourth quarter we've got some non-wage spend coming up that's greater than Q4 than it is in Q3 as we're testing a couple new products and getting ready to get those out the door.
Jim Ricchiuti: Okay. Thank you. 
Operator: Our next question comes from Charlie Anderson with Colliers Security. Please go ahead. 
Charlie Anderson: Yes. Good afternoon. Thanks for taking my questions. I wanted to start with supply chain logistics. You mentioned a good pipeline there and I think your largest customer also described a robust pipeline as well. So clearly a lot of activity there and you've also had the large customer deploy and there is new one who's starting now. So I wonder Chris just stepping back I'm curious as you compare this to apparel a decade or so ago does it feel like we're on the way where we're going to be adding new logos and new appointments with every passing year? Do you feel like you've sort of fully crossed over there or is there still a lot of evangelism out there? Maybe if you could also just remind us on the size of the opportunity relative to apparel over the long term for you? And I got to follow up. 
Chris Diorio: Okay. Yes. Okay. Thanks Charlie. I'll do my best with a question. Let me start with the latter part first. The size of the total apparel opportunity as we see it in terms of endpoint ICs is roughly 80 billion units per year that's still a number that we're holding with and that's not the total number of apparel items sold worldwide. That's probably 40% of the total number of apparel items sold worldwide. It's the number that we think are connectable at least with where we stand today especially mostly in Europe, North America and parts of Asia. And so we still see a good ramp but that opportunity to date has been handheld driven. So as I mentioned just in a prior answer the opportunity to deploy a loss prevention and self-checkout in those use cases we see it as kind of the future. But that said it's very early days and that we have not yet crossed the chasm in terms of loss prevention itself check out opportunities. So we see an opportunity for continued growth and expansion in the retail space even beyond the tagging opportunity. It's bigger than that. It's tagging. It's getting it's basically transitioning the retail stores to stores of the future and the visionary retailers who see COVID-19 an opportunity to transform themselves become more modern and basically address quickly their end customers needs and consumers needs. We were guardedly optimistic that they will invest and drive these new opportunities and technologies. So that's sort of the history of where we were in retail. Handful driven inventory accounting went for a good number of years still growing, still big opportunity ahead we're probably 15% penetrated and then transitioning to even more use cases. Moving over now just to talk about the supply chain and logistics use case. So there have been a lot of supply chain and logistics opportunities that have been small sized in the past. We've talked for example about [indiscernible] another use tracking items through duck doors. But it is and has been historically the large end customers that have pulled an industry forward. In the case of retail it was Macy's and Marx and Spencer and Decathlon. In the case of supply chain and logistics we are optimistic that it will be these large North American end users that will pull the supply chain of logistics opportunity firmly across the chasm but it's still early days to the extent that they do we see opportunities not just tracking pallets and cases but postal items and automotive parts and so many other things. So let's just say one of the reasons for our optimism about the future is that we have two very large end users in supply chain and logistics who are doing important things and we believe or at least hope that they will be a bellwether for other companies to enter into the space and do the same things and do more.
Charlie Anderson: Okay. Great. And then --
Chris Diorio: Did that answer your question?
Charlie Anderson: Yes. No absolutely so. So for my follow-up I was curious the hires in engineering that you mentioned you could mostly complete it here. So that's going to cause the step up. I wonder maybe if you could articulate some of the capabilities you've brought to the team, what are some areas where there's headroom to improve from an engineering standpoint. I'm just sort of curious what is the strategy behind some of the hiring that you've made there? Thanks. 
Chris Diorio: So two core focus areas for us in terms of verticals those would be retail and supply chain logistics. Two core focus areas for us in terms of our engineering hiring that is Silicon and overall Silicon development and then solutions development with our partners in those two use cases that we've been citing in supply chain logistics and retail loss prevention and self-checkout. So hiring for both of those areas and that's our core focus which is why we've been hiring because we see the opportunities for the future and we believe it makes sense to invest now because we see opportunities as we ramp through and ideally exit soon I hope the other side of COVID-19.
Charlie Anderson: Great. Thank you so much. 
Chris Diorio: Thank you. 
Operator: The next question comes from Harsh Kumar with Piper Sandler, please go ahead yes. 
Harsh Kumar: Yes. Hi guys. I had a couple of questions. So my question was on your commentary about systems. You mentioned systems would be constrained in the fourth quarter. I guess for clarity purposes does that mean it would be around the same level as that you saw in the September quarter or we were talking maybe a small step down and then sort of related to that question an endpoint IC you're on to the other side but you burn to the inventory and you're actually able to grow. I think your commentary implied that in systems there's still some of the inventory that the industry is shipping out of. Where do you think your distributors are in the amount of excess inventory that's left in the system to the point that where you will start mirroring the real law in demand?
Jeff Dossett: This is Jeff. I will take a first step at the answer and I would say that the key point is that we think that we will exit fourth quarter with healthy and appropriate systems inventories in our distributors around the globe adjusted for the current demand environment. So it means we're making good progress. We did in 3Q and we anticipate continuing that progress to work down the inventories to service and satisfy the demand that is re-emerging in the modest recovery and then come into 2021 with healthy and appropriate systems inventories.
Cary Baker: Yes. Hi Harsh, this is Cary. Thanks for the question. If I can add just a little bit to Jeff. So he has articulated the demand being met with or matched with channel inventory. The other factor to consider when you're looking at our systems revenue and what that might be for Q4 is that North American supply chain logistics customer the first one delivered revenue in Q3 that revenue goes away in Q4 as they move more fully to the operational phase of its deployment. So that's an additional headwind. It's an important factor to consider in new model.
Harsh Kumar: Understood. Thank you for that clarity. And for my second question so we cover a lot of semiconductor stocks and some of them are in the auto space. The auto guys at least on the semiconductor side are seeing sort of a pretty significantly improving environment. I suppose there's a leak time to when the cars actually get built. So the point I'm making here is the auto sector which is an important sector for you guys potentially down the line appears to be recovering along with retail. So when you talk to your customers and this is a tough question to ask and for you to answer when would you kind of best guesstimate estimate you get back to a normal environment? 
Jeff Dossett: This is Jeff. What I would say is that our solution partners have -- who are active in the automotive sector have re-engaged with their end customers during third quarter and as I said in the opening some existing deployments have been reactivated and are now underway again and some additional testing is being done in new use cases in automotive. So I think your point about automotive experiencing a modest recovery is translating into our re-engagement with our partners in automotive. It's still hard to call more specifically when that will translate into a specific demand fulfilled outside of our distributor inventory, but it is encouraging to see that re-engagement. 
Harsh Kumar: Understood. Thank you. 
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Chris Diorio for any closing remarks.
Chris Diorio: I'd like to thank you all for joining the call today and as I said in the past two quarters I will say it again I hope you and your loved ones are and remain safe and well. Thank you all very much for joining us today.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.